Executives: Carol M. Meyrowitz - Chief Executive Officer and Director Sherry Lang - Senior Vice President of Global Communications Jeffrey Naylor - Chief Administrative Officer, Chief Accounting Officer and Senior Executive Vice President Ernie Herrman - President
Analysts: Stacy W. Pak - Barclays Capital, Research Division Rick B. Patel - BofA Merrill Lynch, Research Division Jeffrey S. Stein - Northcoast Research Adrianne Shapira - Goldman Sachs Group Inc., Research Division Kimberly C. Greenberger - Morgan Stanley, Research Division Paul Lejuez - Nomura Securities Co. Ltd., Research Division Maren Kasper - Wells Fargo Securities, LLC, Research Division Jennifer M. Davis - Lazard Capital Markets LLC, Research Division Daniel Hofkin - William Blair & Company L.L.C., Research Division Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division Roxanne Meyer - UBS Investment Bank, Research Division David Weiner - Deutsche Bank AG, Research Division Mark K. Montagna - Avondale Partners, LLC, Research Division Dana Lauren Telsey - Telsey Advisory Group LLC Jeff Black - Citigroup Inc, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TJX Companies Fourth Quarter and Full Fiscal 2012 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, Wednesday, February 22, 2012. I would like to turn the conference call over to Ms. Carol Meyrowitz, Chief Executive Officer of the TJX Companies, Inc. Please go ahead, ma'am.
Carol M. Meyrowitz: Thanks, Candy. And before we get started, Sherry has a few words.
Sherry Lang: Good morning. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings including, without limitation, the Form 10-K filed March 30, 2011. Further, these comments and the Q&A that follows are copyrighted today by the TJX Companies. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of the United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the financial results and expectations we discuss today are on a continuing operations basis. Also, we have detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and in the Investor Information section of our website, www.tjx.com. Reconciliations of the non-GAAP measures we discuss today to GAAP measures are included in today's press release or otherwise posted on our website, again, www.tjx.com, in the Investor Information section. Thank you.  And now I'll turn it back to Carol.
Carol M. Meyrowitz: Thanks, Sherry, and good morning. Joining Sherry and me on the call are Ernie Herrman, Jeff Naylor and Scott Goldenberg, who as you know was promoted to CFO last month. We are very pleased Scott is taking on a bigger role at TJX, and we'll continue to benefit from the combined leadership of Jeff and Scott. Jeff will be reviewing the financials on our call today, and going forward, Scott will be doing this.  2011 was another great year for TJX. On an adjusted basis, earnings per share increased 14% and our 5-year compound annual EPS growth rate is 20%. Consolidated comps increased 4% on top of 4% and 6% increases in the past 2 years, respectively. We believe that these numbers speak for themselves as for the sustainability and strength of our business model. 2012 is off to a very strong start, and we see ourselves as being at an exciting inflection point with great momentum working in our favor.  Today, we'll be keeping the conversation on this call very strategic. We'll tell you how we are investing and positioning TJX for the next level of growth and why we're so confident in our short- and long-term future, and importantly, why we are investing more aggressively for the future. We expect our investments to start to flatten out in calendar 2013 and are maintaining our model of 10% to 13% annual EPS growth, which assumes a 2% comp increase. We are confident that we will deliver as always and will strive to exceed these goals.  Before I continue, let me turn the call over to Jeff to recap full year and fourth quarter results.
Jeffrey Naylor: Okay. Thanks, Carol. Good morning, everyone. Upfront, let me remind everyone that our 2-for-1 stock split was completed earlier this month, so all of our EPS and share numbers are now on a split-adjusted basis. And as Sherry noted at the top of the call, we will be referring to adjusted numbers in today's remarks, which exclude the impact of the A.J. Wright consolidation in both fiscal '12 and fiscal '11. As well, I'd also include an intrusion-related adjustment that impacted fiscal '11.  So let me now turn to the full year fiscal 2012 results. Our net sales reached $23.2 billion, that's a 6% increase over last year. Consolidated comp store sales were up 4% on top of very strong increases in the past 2 years, as Carol noted earlier. The 4% comp in fiscal 2012 was driven by a balanced increase between ticket and transactions as we continue to grow our customer base. On an adjusted basis, earnings per share were $1.99, a 14% increase on top of the last 2 years increases of 23% and 48%, respectively. Obviously, we're very pleased to sustain such strong EPS growth up against a very difficult comparison. Foreign currency rates added $0.01 to earnings per share this year compared to a $0.01 negative impact in the prior year but had no impact on pretax margin comparisons.  Now in our press release today, we called out the impact of certain fourth quarter items on EPS and pretax margins in both the full year and the fourth quarter period. These fourth quarter items include costs related to the closing of the company's StyleSense stores in Canada, an early retirement program, the closure of a European office facility, a separation agreement and certain write-offs and adjustments at TJX Europe. Those were offset in part by the net benefit of favorable tax adjustments. And normally, we don't go into this level of detail on operations, but these items, which we discussed in prior sales releases and which were significant in the aggregate, were not anticipated in our original guidance. And they're large enough to impact profit flow-through and year-over-year comparison, so we thought we would call them out and talk to them. Combined, these items reduced EPS by $0.02 for both the fourth quarter and the full year and also reduced consolidated pretax profit margins by 20 basis points for fiscal 2012 and by 50 basis points for the fourth quarter. And the majority of this margin impact is in SG&A. So that's a little bit about the fourth quarter items.  For the full year, the consolidated adjusted pretax profit margin was 10.7%. That's a 10 basis point increase over last year and in line with our prior guidance. Gross profit margins were up 30 basis points but were partially offset by 20 basis points of SG&A deleverage, which was primarily due to the 20 basis points of deleverage from the fourth quarter items I just covered.  As to inventories, at the end of the fourth quarter, consolidated inventories on a per-store basis, including the warehouses, were up 3% for our existing businesses. This is less than the mid-single-digit increase we had anticipated and down significantly from the mid-teens per store increase at the end of the third quarter. With store inventories down and turning more quickly and forward purchase commitments down significantly compared to last year, we feel very good about the liquidity in our inventories and are in a great position to capitalize on the opportunities we are seeing in the marketplace.  In terms of share repurchases for the year, we bought back $1.4 billion of TJX stock, retiring 49.7 million shares on a post-split basis, which was more than we had originally planned. During the fourth quarter, we bought back 402 million of TJX stock, retiring 12.5 million shares again on a post-split basis. So that's the full year fiscal '12 wrap up.  Let me now recap fourth quarter results. Net sales were $6.7 billion. That's a 6% increase over last year, and our consolidated comp store sales were up a very strong 7% over last year. EPS for the fourth quarter was $0.62. That's a 17% increase on top of adjusted increases of 13% and 104% in the 2 prior years, respectively. Foreign currency exchange rates negatively impacted current year earnings per share by $0.01 compared to a neutral impact in the prior year and adversely impacted pretax profit margin comparisons by approximately 20 basis points. FYI, for comparison purposes, on a pre-split basis, Q4 EPS would have been $1.25 or an adjusted 19% increase. Our guidance on a pre-split basis called for EPS at or slightly above the high end of our $1.19 to $1.23 original range.  Consolidated pretax profit margin for the quarter was 11.3%. That's a 10 basis point increase over prior year, and that's up 30 basis points if we exclude the impact of foreign exchange. The gross profit margin improved 30 basis points, while SG&A delevered 20 basis points. The fourth quarter items I just mentioned negatively impacted pretax profit margins by 50 basis points, primarily in SG&A. It's important to note that merchandise margins were up 10 basis points for the fourth quarter despite the promotional environment and markdowns that were taken to clear seasonal inventories.  Now let me to turn the call back to Carol, and I will recap our first quarter and full year fiscal 2013 guidance at the end of the call.
Carol M. Meyrowitz: Thanks, Jeff. So the major themes I want to highlight are the momentum of our business, how we're investing for the future, our opportunities for growth and that we're continually raising the bar in every area of the business, and most importantly, I want to reiterate how strongly we believe we will become a company of $40 billion and beyond.  First, we have tremendous momentum. For the third consecutive year, we ended the year with significant increases in customer traffic. We are convinced we will continue to attract new customers as value remains a top priority for our consumers. We are using our off-price platform to deliver outrageous value to our consumers with what we see as the most exciting assortment of brands and fashion setting us apart from other retailers. This is what TJX is all about.  Our U.S. divisions continued to outperform in 2011, posting big numbers on top of big numbers. Marmaxx comped up 5% over growth of 4% last year and 7% the year before that. HomeGoods delivered a 6% increase in 2011 over 6% and 9% increases in the past 2 years, respectively. And both divisions also continue to increase their bottom line profit, and perhaps most importantly, both are entering 2012 with great momentum.  TJX Europe is back on solid track with strong operating results in the fourth quarter, and we feel very good about this business as we begin a new year and certainly going forward. TJX Canada did regain its momentum at the end of 2011, and we're confident it is well positioned for 2012. During 2011, we took several actions to set the table for the new year and longer-term future. We closed A.J. Wright because it was the right move for the short- and long-term economics of the company. More recently, we closed StyleSense as the Marshalls shoe business is so strong in Canada. We closed a corporate facility in Europe to better align our business. This is what we do at TJX. We take intelligent risks and do what's right for the business. We test and we test again. We capitalize on what works and move beyond what doesn't. Today, we're one TJX with a "no walls" environment focused on fewer, bigger businesses.  Now to the strategic investments we're making to support our growth. We have told you that we are confident that we will grow to be a company of $40 billion and beyond. I remain convinced that we will do that. I'd like to discuss what key investments will help us get there. We are investing significantly in our supply chain and systems. As great as our supply chain is, we have lots of room to improve processes we perform manually now. This will help us get even more pointed in shipping the right goods to the right stores at the right time.  We will be investing in a new distribution center on the West Coast, the first new D.C. for Marmaxx in 10 years. We believe this will lead to even greater ease of shipping, freshness and excitement for our customers every time they walk into our stores. We also will be investing in a new data center and systems to support our growing operations. We are making a substantial investment to start up e-commerce, which I'll talk more about in a moment. We are, of course, investing in store growth. We also will continue to aggressively remodel our stores to improve customer shopping experience, as well as invest in other in-store initiative. We are investing in talent, both our TJX University and our future bench, as well as other programs to develop our associates for the future.  Lastly, we will be investing in both our corporate and buying offices in order to support our future growth. To help fund our investments and drive profitability and returns to shareholders, we will continue our cost-cutting control measures. We are planning cost reductions in the $50 million to $75 million range in 2012. These cost reductions also, along with expected merchandise margin improvement, will help us deliver our 2012 plan, which calls for flat to increasing profit margins on a 1 to 2 comp, and Jeff will cover the details a little bit later.  Importantly, as much as we believe we must significantly invest in our business in 2012, we are maintaining our 10% to 13% annual EPS growth model, and as always, we'll strive to surpass it. Again, we expect our investments to start to flatten out in calendar 2013, which should give us an opportunity to leverage even more.  Now let me turn to growth. We are more excited about our huge growth opportunities both in the U.S. and internationally. As we have discussed before, we believe Marmaxx will be a bigger business than we thought just over a year ago and see this chain growing to at least 2,400 stores. We have also discussed that we believe HomeGoods will be bigger than we originally thought. We raised our growth expectation for this chain to 750 stores in 2011. With other major U.S. home retail chains more than twice the size of HomeGoods today, we're very confident in the long-term potential to achieve these numbers.  At TJX Europe, we are on a good track and see the long-term potential for up to 875 stores in just our current market with our current concepts alone. We will proceed prudently but remain as confident as ever in our huge opportunities in Europe. In Canada, Marshalls is another growth catalyst. We see the potential to grow TJX Canada overall to 430 stores, and we will be growing this business steadily.  E-commerce is clearly in our future. We continue to see e-commerce as a major opportunity for TJX. We see it as a marriage between our stores and the Web. We plan to lever our $23 billion brick-and-mortar business and merchant organization that is over 700 people strong. We expect to offer outrageous value and utilize our flexibility, aiming to be a more flexible platform than others. We believe e-commerce will open up a greater landscape for categories. Just think about the potential for us to carry categories online that we wouldn't carry in our stores. We have a strong team assembled, consistent -- consistently of experienced e-commerce talent and off-price -- sorry, consisting of experienced e-commerce talent and off-pricers. The more we learn, the more convinced we are of the huge opportunity e-commerce can be for us. That said, we'll take our time, and we'll do it right. We're not ready to talk timing yet, and we will have more to say as we move through the year.  To continue our momentum, we are constantly raising the bar. This is the drive of our management team. We push harder and stay focused on execution in the near term and position the business for successful growth in the long term. We are continuously striving for even better execution of all the elements of the model that make this company great. Above all, we are all about value. Other retailers are getting it and talking about value now. It's been our mission since day one. We are no longer satisfied with offering customers great value. We are focused on offering outrageous value. We will be pursuing untapped customers with our values. We have made significant gains in the U.S. market, but our research tells us that only 25% of U.S. adults have shopped T.J. Maxx or Marshalls in the last year, which is much less than the -- which is much less a number than have shopped department stores.  With 4 powerful businesses, we still have tremendous opportunity to market even harder and bring new customers into our stores. This is even before incorporating e-commerce, which should only add more customers. We increased our marketing impressions by 30% this past holiday season to 1 billion impressions. In the aggregate, our brand -- our websites average over 4 million -- well over 4 million visits every month. And this is without selling merchandise online other than a small amount in the U.K.  Our brilliance is our brands, and we believe we will make our brands penetration even stronger. Our vendor universe now numbers over 15,000 vendors as we continue to expand our global sourcing. We plan to continue opening more new vendor doors and building even stronger vendor relationships. And as I said earlier, I believe we can get even better at delivering the right goods to the right stores at the right time. We dramatically decreased store inventories over the last 2 years and turn them faster, leading to both stronger sales and margin. We also have a significant opportunity to further reduce inventories and turn them even faster.  Another factor that gives me such confidence in our future is our financial strength. Our business continued to deliver superior financial returns for our shareholders, some of the highest in all of retail and generates an enormous amount of excess cash. For 2012, we plan to continue to balance the use of cash between investing in the profitable growth of our business and distributing cash to our shareholders through dividend and share buyback. On the investment front, we are making significant investments to support our growth and plan to increase capital spending to $875 million to $900 million range. And Jeff will cover the details in a moment. Even with this increase, we still intend to buy back 1.2 billion to 1.3 billion of TJX stock and expect that our Board of Directors will increase our dividend by 21%. This would mark the 16th consecutive year of dividend increases and reflect the compound annual growth rate of 23% for that period.  Even with this level of shareholder distribution, we still plan to end fiscal 2013 with approximately $1.3 billion to $1.4 billion in cash, which provides significant financial flexibility. We split the stock 2-for-1 earlier this year. Since our last stock split in 2002, TJX share price has more than tripled. Over the past 1-year, 5-year and 10-year period, our total shareholder returns have significantly exceeded both the S&P 500 and the Dow Jones Apparel Retail Index. TJX is a company with tremendous financial strength. All of this underscores the reasons for our confidence in the business and our ability to continue to deliver significant increases in sales, earnings and cash flow to generate superior financial returns.  In closing, I feel so good about where the company is today. This business has so much promise. 2011 was another great year that reinforces all the points of our amazing business model. With strong execution, our flexible model plays well in almost any environment, but it is our future that excites me the most. The year is off to a very strong start, and we believe we have great momentum for 2012 and beyond. We are excited about our growth prospects and confident that the investments we are making to support our growth are the right ones.  I love the management team we have in place, which has amazing talent, knowledge and ability. And beyond this team, TJX has a deeply experienced bench from which to draw the future leaders of our company, and we are focused on seeing people grow successfully within our company. We are motivated and ready to move forward in growing TJX to $40 billion and beyond.  Now I'll turn it back to Jeff to go through our guidance, and then we'll open it up for questions.
Jeffrey Naylor: Okay. Before I get to guidance, I wanted to touch on the flow through we saw in the fourth quarter. So for the quarter, we had a 7% comp store sales increase. Ordinarily, we would expect about 80 to 90 basis points of pretax margin improvement at this level of comp. Now the actual pretax margin improvement was 10 basis points, which raised the question of flow-through. There were 2 factors here. First, excluding FX or foreign exchange, pretax margins were up 30 basis points. So FX had a 20 basis point impact on our year-over-year margin comparisons. Second, we had the impact of the fourth quarter items, which negatively impacted pretax margins by 50 basis points for the quarter. So these 2 items explain the flow-through and why there wasn't as much leverage as we'd normally expect. Importantly, our model for fiscal '13 -- I'm going to get to that in a moment, reflects a profit margin that's flat to slightly up over LY on a 1% to 2% comp. So clearly, we're confident in the flow through of our model looking forward. And by the way, that model includes the incremental investments to support the growth that Carol talked about earlier. One other point, some of the fourth quarter items also impacted Europe's performance. So while fourth quarter segment profit was up 89% at TJX Europe and segment profit margin was up 220 basis points -- actually, it's up 280 basis points x currency, the fourth quarter items had a negative impact of almost 200 basis points on the European profit margins. So that's some important color around Europe's results. Let me begin guidance by just briefly touching on our 3-year outlook. The 3-year growth model is unchanged and continues to call for compound EPS growth of 10% to 13%. The components also remain unchanged, reflecting a 2% comp store sales increase, square footage growth in the 4% to 5% range, 1 to 2 points of EPS growth coming from further improvements in pretax profit margin and 4 points of EPS growth coming from the buyback. So that's a 3-year model.  Now to fiscal 2013 guidance. As you can see from today's release, we provided fiscal 2013 guidance on both a GAAP basis and the adjusted basis. The adjusted basis, as always, excludes the impact of the A.J. Wright consolidation on fiscal 2012, and I'm going to speak to the adjusted numbers today.  So let me begin with full year. For the full year, we expect diluted earnings per share in the range of $2.21 to $2.31, which represents an 11% to 16% increase over the adjusted $1.99 in fiscal 2012. Now this guidance includes the 53rd week in the fiscal 2013 calendar, which we expect will benefit the full year and the fourth quarter by approximately $0.07 per share. On a 52-week basis, excluding the $0.07 benefit, full year EPS would be $2.14 to $2.24, that's up 8% to 13% over the adjusted $1.99 in fiscal 2012. And obviously, very, very much in line with the 3-year model.  Now to some of the components of the guidance. Our EPS guidance assumes consolidated top line sales of about $24.5 billion to $24.8 billion, a 6% to 7% increase over last year including the 53rd week. We are assuming the 53rd contributes approximately 1.5 percentage points of this increase. For comp store sales, we are assuming a 1% to 2% increase on both the consolidated basis and at The Marmaxx Group, and the comps by definition exclude the 53rd week. For the year, we expect pretax profit margins to be 10.9% to 11.2%. This represents a 20 to 50 basis point increase over the adjusted fiscal 2012 pretax profit margin of 10.7% with approximately 20 basis points of this increase due to the benefit from the 53rd week. So that implies that pretax profit margins on a 52-week basis will be flat to up 30 basis points, and that's on a 1% to 2% comp, so actually a little better than we would expect on a 1% to 2% comp.  We're planning gross profit margins to be 27.6% to 27.9%, which is up 20 to 50 basis points over the adjusted 27.4% in fiscal 2012. The majority of this improvement is driven by merchandise margins with approximately 10 basis points due to the 53rd week.  In terms of SG&A, we expect SG&A to be approximately 16.6% as a percent of sales versus the adjusted 16.5% in fiscal 2012. The 53rd week benefits SG&A expense ratios in fiscal 2013 by approximately 10 basis points, and the non-anniversary-ing of last year's fourth quarter items has a 15 basis point benefit. However, these 2 items are offset by the incremental investments in our business that Carol outlined earlier, and which negatively impact SG&A ratios by about 25 basis points. So the remaining 10 basis point increase in SG&A is about what we'd expect on a 1% to 2% comp.  Foreign exchange rates, assuming current levels, are not expected to impact full year EPS growth. In terms of capital spending, it's expected to be in the $875 million to $900 million range. The increase over prior year levels reflect similar levels of spending on new stores and remodels, but investment in the new Marmaxx D.C., investments in new systems, including the data center and investments in e-commerce. So that's the reason for the CapEx increase. For modeling purposes, we're planning net interest expense in the $30 million to $31 million range, a tax rate of 38.5%, which is up 50 basis points due to the favorable tax adjustments in the prior year and a weighted average share count of 741 million shares.  Now that's first -- so that's full year guidance. Now let me turn to the first quarter guidance. As you can see from the release today, we expect earnings per share to be in the range of $0.45 to $0.47. That's a 15% to 21% increase over last year's adjusted $0.39 per share. In terms of the components of that, we're assuming a first quarter top line in the $5.5 billion to $5.6 billion range. This is based on comp sales growth in the 2% to 4% range on a consolidated basis and 2% to 3% at The Marmaxx Group.  At the monthly comps for February, we're planning comp sales increases of approximately 7% on a consolidated basis and at The Marmaxx Group. For the combined March, April period, we are planning on comp sales growth in the range of 1% to 3% on both a consolidated basis and at Marmaxx. In March, we are planning comps to increase 1% to 3%, and in April, flat to up 2% on both a consolidated basis and at Marmaxx.  In terms of margins, pretax profit margins are planned in the 10.1% to 10.4% range for the first quarter, up 50 to 80 basis points over the adjusted margin in the prior year. We are anticipating the first quarter gross profit margin in the range of 27.5% to 27.7%. That's up 60 to 80 basis points versus the adjusted 26.9% gross profit margin in the prior year. And that's up due to strong merchandise margins, as well as the non-anniversary-ing of last year's 30 basis point negative mark-to-market impact. So those are the 2 factors behind the gross profit margin increase.  We're expecting SG&A as a percent of sales to be in the 17.2% to 17.3% range. That's a 10 to 20 basis point increase over last year's adjusted ratio of 17.1%. First quarter SG&A ratio comparisons to prior year are impacted by the timing of our investment spending, which didn't ramp up until the back half of last year, leading to less favorable year-over-year comparisons in the first half of fiscal '13. In terms of foreign exchange rates, assuming current levels, FX is expected to have a neutral impact on EPS this year compared to a $0.02 negative impact on EPS in last year's first quarter. For modeling purposes, we're anticipating a tax rate of 38.6% and net interest expense to be in the $7 million to $8 million range. We anticipate a weighted average share count of approximately 753 million shares.  I'll wrap up the guidance with our store growth plans for fiscal 2013. On a consolidated basis, we plan to add approximately 160 new stores with approximately 10 planned closings. This will result in 150 net new stores for a total of 3,055 stores by year end, increasing square footage by approximately 5%. In the U.S., with the continued very strong performance of Marmaxx and HomeGoods, we will continue to aggressively expand these businesses. Our plans call for 85 new stores at Marmaxx and 40 new stores at HomeGoods. Internationally, we will continue to grow our store base steadily. At TJX Canada, we plan to add 15 new stores in fiscal 2013, including 9 Marshalls stores. At TJX Europe, we expect to add 10 new stores this year.  We will now open the call for questions. [Operator Instructions]. Thanks, and we'll take questions now. We'll turn it back to Candy. So, Candy?
Operator: [Operator Instructions] Our first question comes from Stacy Pak.
Stacy W. Pak - Barclays Capital, Research Division: I guess a couple quick ones. One is, do you think that the AUC pressure that the industry faced in '11 had any negative impact on you? And do you expect any positive impact going forward simply from the AUC changes we're seeing in the industry? And then second of all, can you comment on how you view everyday low prices in your competitive set versus department store sale price? And does that change the way you think about your business at all?
Carol M. Meyrowitz: Yes. Stacy, look, I'm going to come back to who we are and that is the distance between us and everyone else. In terms of cost, I mean, it's the way we buy. We're an off-price company. We buy very close to need. You could not have a more promotional environment. I don't think I've ever seen it this promotional as in December. And not only were we able to keep our margins, but we had a very, very strong comp. So my answer really to both those questions is, our model works if we execute our model every day, whether the prices go up or whether people go every day, the model works that way.
Operator: Next question, Rick Patel.
Rick B. Patel - BofA Merrill Lynch, Research Division: Can you just talk a little bit about segment profitability for TJX Europe? It seems like it improved pretty nicely in the fourth quarter, but you still seem to be below peak levels. Are there any structural reasons why margins can't get back up to the peak levels that you were at a couple years ago? And what should we be expect for the next year?
Carol M. Meyrowitz: Okay. I'll have Jeff go through the year model, but we feel in Europe we're certainly going to increase. I think we're planning like 280 basis points for the year or something, a pretty strong increase. Jeff will go through the exact numbers. But we feel that we're in a very good place going forward. We're being cautious. we feel that it's a pretty big jump from this year. We certainly have good infrastructure built in. We're planning on only adding 10 more stores next year. So we think this is a really good sensible, viable plan. Going forward, we still see it as an 8% model. I think this year will be a very good year for us to really see how strong we can be.
Jeffrey Naylor: Yes, I think if you look at the -- I'll talk to the fourth quarter and then fiscal '13. So in the fourth quarter, we saw the margins a year ago from 3.4% to 5.6%. So that's a 220 basis point increase. That was suppressed a bit by FX, so if you adjust for FX, that 5.6% would have been 6.2%. We actually had a 280 basis point increase. The other factor there is that, that 280 basis point increase in the fourth quarter was also negatively impacted by the fourth quarter items. There was about a 200 basis point hit to Europe in the fourth quarter from those fourth quarter items. So you can just -- we would have had explosive margin growth in Europe in the fourth quarter if it weren't for the fourth quarter items having a 200 basis point impact and currency having a 60 basis point impact. So we feel great about the track that we're on. Now as we look forward, we planned the European business on a 4% to a 5% comp next year. And last year, we had a 2.4% segment profit margin. This year, we're planning at 4.9% to 5.4%. And that's with 20 basis points of benefit from the 53rd week. So if you adjust out the 53rd week, it will be 4.7% of 5.2%. The 53rd week in general will benefit our pretax -- our margins in total TJX and our business by 20 basis points next year. So Europe goes from 2.4% to 4.9% to 5.4% with 20 basis points of the benefit of the 53rd week included in that number. So we feel good. That will be strong, steady growth. Obviously, a higher level of comp would get us a higher level of bottom line margin improvement. And as Carol mentioned, there really are no structural reasons that we can't get back to 8% and above on the second profit margins for Europe.
Operator: Next, Jeff Stein.
Jeffrey S. Stein - Northcoast Research: Carol, you teased us a little bit with your comments on e-commerce, and I'm wondering, is e-commerce part of the discussion for 2012? In other words, can you launch this year? And if not, what's preventing you from getting there? It seems like the team has been together now for quite some time.
Carol M. Meyrowitz: Well, again, we're going to -- we'll give you a little more color as we get through the year. We learned a lot in the past. We learned a lot from Europe. Even when you look at Marshalls in Canada, we're going slow. And it's tremendously strong, and we want to make sure that we do e-commerce right. So we are -- in our 3-year model, it's a tremendous opportunity. And we -- again, I'm going to just keep coming back to we want to do it right, and then we can accelerate it. So when we get all our ducks in a row, we'll be very happy to tell everyone what's going on and report to you.
Operator: Next, Adrianne Shapira.
Adrianne Shapira - Goldman Sachs Group Inc., Research Division: Carol, I just want to use the word outrageous value several times. And as interesting as -- we get that. Obviously, it's an evolving competitive landscape. But I'm just wondering, how do you reconcile what outrageous value means and how that's different from the type of value we've seen in the past with the fact that merchandise margins are planned up 10 basis points in 2013?
Carol M. Meyrowitz: Adrianne, it has to do with raising the bar every year. And the messaging with the team, and Ernie has spent a lot of time strategizing with all our divisions to absolutely leverage to really maximize our off-price model, to keep our inventories even leaner next year and to increase our brand relationships and make them even stronger. So we're pretty excited about it. Ernie?
Ernie Herrman: Adrianne, I would say it also lines up with the liquidity and the inventory turns that we've been maintaining. We're making sure that we're really buying hand to mouth, and the environment seems to, across all the markets, whether the better markets or the moderate markets and in all categories within the store seems to have a fair amount of goods. So again, that kind of fits the model and allows us to, I think, ramp up the exciting values that we have and get them to that outrageous level.
Carol M. Meyrowitz: So -- and Adrianne, as always, we have a few new interesting initiatives up our sleeve, and we're always testing things. Jeff wanted to make a comment on the margin also.
Jeffrey Naylor: Yes, I just -- I guess just to set the record straight, the margin was up more -- the margin was up 10 basis points in the fourth quarter. As we look at fiscal '13 for the full year, our gross profit is planned up 20 to 50 bps, basis points. Ten of that is from the 53rd week. The balance is all coming from merchandise margins. So the implied merchandise margin increases in fiscal '13 are in that 10 to 40 basis point range. The third component of the gross profit margin, buying and occupancy, we've got plan flat, but you'd expect that on a 1 to 2 comp. Obviously, we would expect to get some leverage if, in fact, the comp were to exceed the level that we have in our plans. So -- but I think the point to color here is merchandise margins are being planned up to 10 to 40 next year. So we have put some improvements baked into our full year model.
Adrianne Shapira - Goldman Sachs Group Inc., Research Division: Yes, okay. So that's my point, Jeff. I'm just wondering in terms of the merchandise margins, 10 to 40. Maybe kind of help us think about, is that more of liquidity issues? What sort of turn expectations we could expect to get...
Carol M. Meyrowitz: Well, that is a big piece of it. And as I said before, as we get better, we talked about systems, and we talked about a lot we do manually. If we are -- again, very focused on the right goods at the right stores at the right time, and I've said it a few times that we have still lots of opportunity there. A big chunk of our investments for 2012 are in systems to improve for the future. We're going to have another D.C. on the West Coast in the future, so we're putting investment in. But we see certainly opportunity for this year, and hopefully, even going forward, greater opportunity as we get some of these things really up and running. But we're far from at the end of our game.
Operator: Next question, Kimberly Greenberger.
Kimberly C. Greenberger - Morgan Stanley, Research Division: Carol, I'm wondering if you can talk to us a little bit about your business in Canada. The sales numbers really turned around in the fourth quarter relative to the comps they had been producing in Q1, 2 and 3. But the operating margin fell in Q4, and it had been relatively stable in the second and the third quarter. Are there some anomalies in there that you could address? And what would your expectation be for Canada here in 2012?
Carol M. Meyrowitz: Well, first of all, Canada -- we closed StyleSense, which is a piece of the fourth quarter and a little bit of merchandise margin due to cold-weather merchandise that we wanted to clean out. And we had an increase in advertising. So really, those 3 factors are what hit us in the fourth quarter. But I think Ernie should give you some color because I think he's feeling and we're feeling pretty good about Canada.
Ernie Herrman: Yes, Kimberly, I think a couple things we focused on up there is at one point in the -- I would say in the first half into the third quarter, we were a little concerned with the values and how we were stacking up against the competition up there. So going into the fourth quarter, we felt much better about what type of values we're delivering across the store there. Secondly, we talked about this before, our ladies business, which is obviously a core component of our Winners business was something where we thought we had execution issues early on, and we feel we made a lot of inroads there. And if you look in the fourth quarter, we don't get specific, but we did have an improvement in our trend in the ladies business and even more recently into January. So that's always good bellwether for us going forward as we enter 2012. And also a great job on inventory control and liquidity and with the momentum going into the new year, all those components are making us feel pretty good. I think Jeff wanted to talk to the guidance a little bit here.
Jeffrey Naylor: Yes, as we look forward, Kimberly, so we would right now embed it in our full year guidance, Canada in the 2% to 3% comp on top of the minus 1 from last year. In terms of bottom line, we have them planned right now 13.6% to 13.9% on top of the 13 -- I'm sorry, I'm reading the wrong number there. We have them planned at 12.9% to 13.1% on top of the 13% last year. Canada benefits 10 basis points from the 53rd week, but they're getting hit by 20 basis points in terms of foreign currency at current rates. So if you take all that out, Canada we would have planned up 10 on a 52-week basis, flat to up 20 basis points on a 2% to 3% comp. That's about what you'd expect, right? A flat to 20 basis point improvement in your bottom line margin on a 2% to 3% comp, I think which really underscores our belief that the business is back on solid footing, and we're confident in the profit and the profit flow-through.
Carol M. Meyrowitz: I think the other point, Kimberly, is again learning from the past. Ernie's put a pretty strong team together for Marshalls, so we have invested in some bench strength so that we get ahead of Marshalls as we go forward. We're only planning on 6 additional stores next year but -- excuse me, 9 additional stores, but that's really going to set us up for the future. So that when we start to really accelerate, we're going to be in great shape, and we won't skip a beat.
Operator: Next question comes from Paul Lejuez.
Paul Lejuez - Nomura Securities Co. Ltd., Research Division: Jeff, can you talk a little bit about new store productivity at Marmaxx? Now that you're opening more stores in some densely populated areas, I would have expected productivity to move higher. My numbers don't show that, but it's always hard for us to get at it exactly. So just wondering what your number is showing. And then also, can you maybe just share with us your assumptions for HomeGoods comps and profit margin assumptions for '12?
Jeffrey Naylor: Okay. So in terms of the productivity, while we are opening in densely populated urban areas in Marmaxx, we are also opening a lot of stores in more rural markets where the store will open maybe in a sort of $4 million to $4.5 million sales range, which is well below the average. That said, we pay significantly less in rent and can deliver a 4-wall contribution that's just -- in dollar basis, just slightly below the average. But on a percentage basis actually, it's as strong or stronger than the average. So we've got a really great opening program going in smaller markets. And the productivity in those are both strong contribution margins, strong ROIs. The sales tend to be less than the average, and that is really counteracting or balancing out the benefit on the terms of sales per store that we're getting from those bigger stores. In terms of the guidance, since I've given Canada and Europe, why don't I just give Marmaxx and HomeGoods? U.S. for HomeGoods, so I'll start with that. The HomeGoods we have planned to comp up 1% to 2%. The 4-wall profitability, we have planned 10.7% to -- I'm sorry, 4-wall profitability -- the segment profit margin, we have planned at 10.7% to 10.9%. And that's again with a 20 basis point benefit from the 53rd week. Marmaxx, we have planned the comp up 1% to 2%, and we have the profit margin planned at 13.6% to 13.9%. And again, that's with -- in the case of Marmaxx, that's 10 to 20 basis points of improvement due to the 53rd week. So you can see in the case of Marmaxx, we're planning the -- that pretax margin's down slightly to up slightly on a 1% to 2% comp, again, what you'd expect. And in the case of HomeGoods, same thing. On a 52-week basis, down slightly to up slightly on a 1% to 2% comp.
Operator: Next question comes from Evren Kopelman.
Maren Kasper - Wells Fargo Securities, LLC, Research Division: It's Maren Kasper in for Evren. Just quickly, it's clear that your business does very well in both healthy and challenging macro environments. So we're wondering, in your opinion, what do you view as the biggest risk to your business?
Carol M. Meyrowitz: The biggest risk is always us not executing. That's always the biggest risk. If we do what we do best, then we'll end up beating. And if we don't, it's all on us.
Operator: Next question comes from Jennifer Davis.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: Can you talk a little bit about -- what does your research show in terms of traffic? Are you getting new customers, or are -- is your customer coming back more often, or is it a combination of both? And then what are your expectations for traffic and ticket for 2012?
Carol M. Meyrowitz: Okay. Well, for the year, we were up slightly in traffic and in basket. We ended the fourth quarter very strong. We had tremendous momentum from our tri-branding, which is pretty exciting because we ended the year going in with a lot of new customers for the new year. Our marketing plans for next year are we have an increased dollar versus last year. We will increase our impressions and more than likely, we will be on network TV a couple of more weeks this year than we were last year. We keep learning more and more about our marketing, and it's pretty exciting. So we're just going to keep bringing in new customers, and that's a big part of our growth vehicle. As I said before, our penetration is a lot less than typical of department stores. So we have a long way to go.
Jeffrey Naylor: It's hard to determine exactly the extent to which the increase in transactions is being driven by new customers versus existing customers. All we can really do is look at that penetration stat towards the percentage of the customers that shop our chains this year versus last year. And what we've seen over time is that's been eking up as we've moved over the last several years, and we think that will continue to do that going forward given the importance of value to customers.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: All right, great. Can I throw in one more? You don't have to answer if you don't want. Merchandise margins -- can you talk a little bit about your merchandise margin expectations by division for 2012?
Jeffrey Naylor: No, that's -- we don't provide that.
Operator: Next question comes from Daniel Hofkin.
Daniel Hofkin - William Blair & Company L.L.C., Research Division: The -- I just wanted to come back to the earlier question for a second about Europe and just understand kind of the progression going forward that you would tend to expect. I know in the past it was highly seasonal in terms of profitability to the fourth quarter. Do you expect it to be smoother kind of going forward than, let's say, it was in 2009, a relatively normal year? That would be the first question.
Carol M. Meyrowitz: Yes, well, we're giving full year guidance, but what I will say to you is that I think it just reads of opportunity. And we did -- we have a lot of -- the percent of profit in the back half is almost 85%. So both Ernie and I just look at that and say this is an opportunity. And that's the way we approach it. So our goal is to get it back. We want it to be an 8% model. We're working towards that. We like the team very much, and we're really heading in the right direction.
Jeffrey Naylor: Yes, well, I don't have this here in front of me, Dan, but I suspect that the pattern is probably not that much different than what we would have seen in 2009, maybe a little bit less weighted towards the back half, but still more weighted towards the back half than our North American businesses.
Daniel Hofkin - William Blair & Company L.L.C., Research Division: Okay. I guess just related to that, the -- what you gave us the fourth quarter adjusted margin for Europe, from the table, it shows 5.7%. Was there an additional adjustment that brought it to the 6 -- I think you said 6.2% or 6.5%?
Jeffrey Naylor: Yes. There was -- currency had an impact in the fourth quarter of -- hang on one second. Let me just get it in front of me. Currency had an impact in the fourth quarter in Europe of about 50 basis points.
Daniel Hofkin - William Blair & Company L.L.C., Research Division: Okay. I guess I thought that was already captured, but...
Jeffrey Naylor: Yes, so if you look at the -- we have tables that are on the -- we put the tables on the Web that give you the sales and marketing comparability with and without currency. So on -- before -- x -- the reported numbers we want from 3.4% to 5.6% in the quarter, Dan, so that's up 220 bps. If you adjust for currency, it would be going from 2.9% up to 5.7% or a 280 basis point increase. So that was the difference. And then on top of that, there's the 200 basis point hit we're getting for the fourth quarter items, which would've taken you even higher had we not incurred those items in the quarter.
Daniel Hofkin - William Blair & Company L.L.C., Research Division: Got it. Okay, just quickly, the other question was regarding the opportunistic buys that you did last year. Obviously, the year-to-year inventory change came down significantly by year end. How would you assess overall kind of the sell-through in terms of traffic and margins on that opportunistic buys relative to the original thought?
Carol M. Meyrowitz: Yes, I think you're trying to get at packaways, I assume?
Daniel Hofkin - William Blair & Company L.L.C., Research Division: Yes, yes.
Carol M. Meyrowitz: We're in very good shape. We're always within our number. We have more packaways than last year because there was just an abundance of fabulous cold weather and brands. So again, we have more packaways than last year, still within the range that we always are. But our inventories are pretty lean, and we're nice and liquid. We're really in great shape.
Jeffrey Naylor: And we don't comment on the margin on packaway product versus the margin on other product. Again, we've never -- well we've been increasing the mix towards close out over time, we've never in our MD&A called out that mix as a factor in merchandise margin increases year-over-year. We get very, very good merchandise margins out of our incentive buys as well. So -- but again, it's not -- we really don't comment on packaway versus other forms of purchased goods.
Carol M. Meyrowitz: The key is, our inventory in stores is way down. We're very, very liquid, and there is a very plentiful market out there.
Operator: Next question comes from Richard Jaffe.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: Just a couple of follow-on points. The first on e-commerce and any opportunity to move more quickly on that, that is, say, in the calendar 2012 and to use that more aggressively as a marketing vehicle, as well as a sales tool. And just your further thoughts on e-commerce, if you would? And then if you could provide specifics regarding the European growth to 875 stores, wondering how that breaks out by country or by region.
Carol M. Meyrowitz: Okay. You guys keep asking me about e-commerce, and I'm going to say it 9 million times, we know all the opportunities, and we know how many people come to our website. And I guarantee we will do it right. But as always, we want to do things planning in a conservative way, putting in most of our cost factors certainly from what we can see and doing it right. The reason we look long-term and see it as just a tremendous vehicle is just that leveraging of the platform and the opportunity to even sell product that we don't have in our stores today, to sell product that we have in our stores today. So we will get there, and we will do it in the right way. In terms of the European growth...
Jeffrey Naylor: Yes. The stores, the 750 to 875 breaks down as follows, Richard. We'd have 300 to 325 stores potential in the U.K.; 250 to 300 in Germany; 100 to 150 HomeSense stores; and 100 stores in Poland. So it just reflects the markets that we're in currently and the concepts that we have currently. So we obviously believe that there's potential beyond those numbers. But our mantra right now is go slow, build the infrastructure, and then once we've got good -- once we've reestablished very strong performance in the division, which we believe we're on our way to do, to accelerate at that point in time.
Operator: Our next question is from Roxanne Meyer.
Roxanne Meyer - UBS Investment Bank, Research Division: Can you talk about how the converted A.J. Wright stores are performing and your learnings there? And then as it relates to the supply chain initiatives, what inning are you in, in making those investments? And when do you think you could begin to benefit?
Carol M. Meyrowitz: I'm sorry, the second question inning on what?
Roxanne Meyer - UBS Investment Bank, Research Division: On the supply chain investments that you're making and when do you see the benefits coming?
Carol M. Meyrowitz: The supply chain. Okay, well in terms of the supply chain, we're kind of in the first inning. So I -- we're really looking at this as probably a 2- to a 3-year project with more investment in 2012. Then it starts to flatten out. In terms of A.J., we really -- we have the benefits that we talked about from a year ago. But more importantly, it's really what just allows us to grow the Marmaxx chain and the HomeGoods chain. So we see the increase in number of stores. And obviously, both those businesses have much stronger margins than our A.J. Wright chain did. So there's the opportunity, and that's why we keep increasing the number of stores because we've really learned how to exist in lower demographics, in high density, lower income, variety. We learned a little bit more about the diversity piece of it. So this is what is just allowing us to really grow those chains. And that was the idea initially, is to leverage 4 big businesses and not be as spread out. So we feel very good about going forward.
Operator: Next question comes from Jeff Weiner.
David Weiner - Deutsche Bank AG, Research Division: Hopefully it's Dave Weiner. So I won't ask my 5 Internet questions. So just, Jeff, really I guess a lot of questions have been asked, but just a question on the buying and occupancy. What is the sensitivity for every comp point you come -- for the total company for every comp point you come in above your plan, how much will that lever the B&O?
Jeffrey Naylor: Layer [ph] every comp point above plan will leverage expenses by 20 basis points.
David Weiner - Deutsche Bank AG, Research Division: 20 bps, and that's consistent with...
Jeffrey Naylor: In line with the bottom line by 20 bps, and we really don't break that out between the B&O and SG&A.
David Weiner - Deutsche Bank AG, Research Division: Okay, that's fair. And is that -- that's consistent with -- I've asked this question before, I just want to make sure, is this consistent with what -- has that changed over the last...
Jeffrey Naylor: Well, it's -- that assumes no merchandise margin expansion.
David Weiner - Deutsche Bank AG, Research Division: Yes, that's right.
Jeffrey Naylor: That's just the expense leverage that we'd expect. So if you got merchandise margin expansion on top of that, we've obviously gotten a lot of that over the last 3 years, you'd expect it to be more. So you really can't say a point of comp equates to 20 basis points on the bottom line because it really depends how we manage our inventories and the quality of the goods that we're buying, returns, et cetera, and how those impact merchandise margin. But what you can say is the point of comp is worth 20 basis points on the bottom line, and that's mixed between G&A and buying and occupancy. So there's a spread between the 2, but we get the -- you'd expect bottom line to see 20 bps.
Operator: Next question comes from Mark Montagna.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Two questions. First on Canada and then general corporate expenses. With Canada last -- this past fiscal year, you had a segment margin of 13% and despite some poor execution. I'm just wondering why you're not raising the ceiling on that potential to closer to 14% because what once you really start executing this year, it seems like there's a lot of upward opportunity. And then just general corporate expense, what's driving the increase? And should we expect it to be similar in the new fiscal year as it was last year?
Carol M. Meyrowitz: Okay. I'm going to turn it over to Jeff in a moment, but I just want to make a comment on Europe -- on Canada rather. I think we have a very prudent plan in there, and we are also investing in our business going forward. So that's a piece of it. But I think both Ernie and I are very, very comfortable with our plans, and I think it makes a lot of sense on a 2% to 3% comp. So, Jeff, you want to go through?
Jeffrey Naylor: Yes, just a damp [ph] on Canada. On a 2% to 3% comp, you wouldn't expect a lot of expense leverage. We are making investments, and we clearly have had some hits this year that have been related to getting the margins -- improving our margin and getting it more aligned with the markets. So I think -- we feel comfortable with the way we set the plan for next year. In terms of corporate expenses, we would expect a lower increase this year than last year. So if you look at this year, we had 100 -- the corporate expenses were $228 million against $169 million last year. About a quarter of that are the fourth quarter items and our write-off we took earlier this year associated with moving one of our buying offices. A little more than half of this is investments in talent events including TJX University, investments in new systems and e-commerce. The balance reflects normal growth. For fiscal '13, we're expecting the corporate expenses to be, on a 53-week basis, $270 million to $277 million. And on a 52-week basis, that's $268 million to $276 million. So that's up what? That's up about $40 million to $45 million. Almost all of that is the investment in our data center, e-commerce business and other investments that Carol mentioned, partially offset by the fourth quarter items that go away. We had a voluntary retirement program separation agreement and that flowed through the corporate items. So the net of all those really explains the lion's share of that growth next year. We would expect that growth really to level out once we get to fiscal '14.
Operator: Next question comes from Dana Telsey.
Dana Lauren Telsey - Telsey Advisory Group LLC: As you think about inventory turns and the efficient supply chain, you've always talked about store level of inventory turns of around 10x to 11x. How do you see that developing or changing given the inventory plans? And then just 2 other quick things: Number one, marketing spend, how you're thinking about it for 2012 versus '11. And lastly, on remodeled stores, how's the performance and how's the occupancy costs?
Carol M. Meyrowitz: Okay, Dana, that's 3 questions. We don't give you specifics on inventory turns. I can tell you, as I said before, it's one of our biggest investments going forward. We're sort of at the beginning of the game. This year, we still will decrease our inventories in stores, and we will turn faster. But we don't know the endgame of the opportunity because we're going to see how it yields. But we just see a lot of things that we think we can do better for the future. So we're pretty excited about that. The marketing spend, what I said to you is, we're up in dollars versus last year, we will be up in dollars this coming year. We'll be on network TV a couple of more weeks than we -- more than we were a year ago, so the impressions will be up. But more importantly, we're leveraging all of our businesses together, and we think we have some very, very strong campaigns going forward. And I think each year, we get better and better at this. In terms of the remodels, we really don't discuss the specific numbers. We like it. We're happy with it. And next year, we are planning to do over 300. Along with that, we're always looking at the next generation and other in-store initiatives that can -- to drive sales for us in the future.
Jeffrey Naylor: A couple of financial factoids here. On the remodels, the recent performance, the lifts we are seeing are very comparable to the lifts that we were seeing in earlier classes of remodels. And on the marketing, the dollars will be -- spend will be up in line with sales, and our ad-to-sales ratio, right now, we're planning basically flat although we reserve the right to change that as we move through the year.
Operator: Last question comes from Jeff Black.
Jeff Black - Citigroup Inc, Research Division: Jeff, maybe you could help us. We've had a lot of talk about it, but what is the magnitude of the inventory improvement you're talking about? I mean, can you framework it in reference to turns? Are we look at it as another turn that's possible or in the amount of inventory that you think you can take out of stores and maybe tack on how the D.C. in California helps with these efforts?
Jeffrey Naylor: Yes, yes, it's -- I think as we look at turns, we're reluctant to quantify what it's going to be going forward. I think when we look at store turns in the past 3 years, we've gone from turning -- 3 years ago, we used to say we'd turn 8x to 9x a year. Now we're saying we turn 10x to 11x. We have some divisions that are turning faster than others. We have disclosed that HomeGoods is in that 14% to 15% range. So we think there's opportunities across a couple of our divisions. And systems are only going to help us do that. The other thing that helps up is our D.C. productivity. We've invested in engineered standards. So when Carol says we're at the first inning, we're on the first inning of our systems investments. But in terms of some of the investments we've made engineered standards in our distribution center, those were pretty far along, where it's more like in the 6th, 7th inning, and those have yielded huge results. It's not insignificant that we had 10 years of growth in Marmaxx in terms of comp and new stores without having had to add a D.C. And a lot of that is coming from the productivity that we're seeing. And a lot of that has come from engineered standard. So we think there's an opportunity going forward. We don't want to cap our thinking on this, but I would tell you, we're very proud of the increases we've been able to generate at store level. We think the investments that we've made have yielded very strong results, and we're excited about the future investments that we're making that should yield additional benefits. I just don't want to put a number on it, Jeff, at this point. Clearly, we have some of this baked into our plan with a 10 to 40 basis point improvement in merchandise margin next year. And we'll see where we are as we go.
Carol M. Meyrowitz: Thanks. I want to thank everyone, and we're looking forward to reporting to you on the first quarter.
Operator: And ladies and gentlemen, that concludes our conference call for today. You may disconnect. Thank you for participating in today's call.